Mark Peterson: Good morning, everybody. Welcome to the 2025 full year results call for NZX. I'm Mark Peterson, NZX Chief Executive, and I'm here with Graham Law, NZX's Chief Financial Officer and Corporate Officer. Graham and I will take you through the result. I'll lead off with the key elements of the result and some broader comments, and Graham will then step us through the financials, after which we are more than happy to take questions. [Operator Instructions]. Before we start, please note the important notice on Page 2 of the Investor Relations pack as that statement applies to all content and comments made by us during this call. Just a few opening remarks, if I may. When we spoke in February last year, we spoke of cautious optimism of -- for 2025. And at the half year results announcement in August '25, we spoke of a strong first quarter for markets across the board, and then we talked of the uncertainty markets experienced because of the Liberation Day effects. Since then, I would describe quarters 3 and 4 of '25 as a slow grind, slow grind back actually. Investors started to see through the changing times created either by economic policies set in other jurisdictions and the wider geopolitical landscape. There is no question that the world has changed. Free trade is being replaced by economic certainty and security and the powerful are exercising their muscle. The New Zealand economy is having to adapt to this new global environment, and we are as well. As we said at the half year, the Liberation Day uncertainty probably cost NZX about $1 million in revenue, but it also slowed down activity that was in the pipeline. Notwithstanding this, NZX has posted some strong results. Against our EBITDA full year guidance range of $49 million to $54 million before integration and restructuring costs, NZX posted a full year result of $53.5 million, up 11.6%. If you include integration and restructuring costs, we posted a result of $51.7 million, which was also up 11%. Reported NPAT was $21.5 million. And if you exclude from the 2024 result, the write-back of the earn-out provisions relating to QuayStreet and the write-down relating to the energy contracts, you get to a 20.2% increase on a like-for-like basis. You will recall at our November '23 Investor Day, we spoke of our expectations of returns lifting ahead of NPAT -- or our cash returns lifting ahead of NPAT and earnings per share over the next few years. And that's largely due to the amortization bubble effects that we have within our Wealth Technologies business. We're now starting to see this play out. And as a result, the Board has now the confidence to declare an increased final dividend of $0.033 per share, which is fully imputed and will bring the total dividend to $0.063 per share fully imputed for the year. At this point, we see a path to progressively lifting future dividends over time. Dropping into the component parts. Revenues were $128.9 million for the year, which was up 7.3%. Revenues in Markets were slightly down, reflecting a challenging issuance environment and no one-off audit revenues for the year. Revenues in Smart were up 17.8%, reflecting good net cash inflows and positive market returns. Revenues in Wealth Technologies were up 26.2%, again, reflecting customer successes and client transition growth. Expenses totaled $75.5 million, which was up 4.5% on last year, and these have been closely managed across the group. As we have mentioned previously, cost movements in markets have been largely driven by salary and IT inflation. Staff and roll vacancy numbers were slightly down off the back of the late 2024 restructuring efforts. Cost movements in Smart have been well managed at the BAU level, and we have increased our investment into getting into more efficient or getting on to a more efficient operating platform and communicating the benefits of our products and services with our clients. We have always said we will manage our Wealth Technologies costs tightly and align these to client transition opportunities. 2025 has been no different. Again, corporate costs were well controlled through the second half, inflation driven for the most part, although we have invested into areas that support our business growth, and we did make a meaningful change in our HR function for that team to support our business more strategically. Our desire is to ensure that we are planning forward sufficiently and have the right human resource skill sets across the group in this fast-changing world. Despite the mixed economic environment and the impact this had on our revenue line in April and May, we delivered positive jaws with revenue lifting 7.3% and costs lifting 4.5%. This has translated to another improvement in operating margin to 41.5%. And as I mentioned at the beginning, Graeme will take you through the financials in more detail shortly. Page 5 of the pack speaks to the targets we set ourselves in 2025 and how we performed against those. We'd give ourselves a pass mark on most of them, excluding the capital listed and raised, especially when you take off the effect of Fonterra moving from our own private or their own private market to the main board. Total value traded and cleared was just shy of the target, and you'll see we've also laid out the 2025 highlights there on the right-hand side of the page. Page 6, we have again brought forward to the first section of the pack, and it's our forward views on what 2026 looks like for us. You can see familiar themes of delivering additional products and customers to each of the businesses to achieve increased scale. I must say, subject to the macroeconomic environment remaining stable, the outlook for capital listed and raised in 2026 and beyond that we have visibility on is the best I've seen since 2011. The business highlights have been laid out on Pages 8 through 13. Starting on Slide 9. Capital listed and raised was down 8.8%, if you exclude the move by Fonterra. Given the uncertainty that Liberation Day created, this was a reasonable result. We also were impacted by a lower cost interest rate environment in Australia, even if you include the cost of the swap. This meant that some maturing fixed income securities in our market were reissued into Australia. This will change with market cycles. We continue to work with the government on policy and policymakers on further changes to the regulatory and compliance environment. There was broad agreement in the direction of lowering the cost of capital in New Zealand to assist in capital formation occurring here. We have 3 areas of focus with the government at present, eliminating the need for requiring a PDS on any further capital listed raise, either fixed income or equity if the business is already listed and simplifying further the contents of the PDS and requiring a full element for continuous disclosure liability settings for directors. We continue to lobby for these and some other changes, but we're up against a full legislative agenda the government is looking to deliver prior to the election in November. As I've mentioned at present, we are very positive on the listing and capital raising outlook for the next few years with opportunities beginning to emerge from the resources and tech sectors, foreign-listed companies with New Zealand interests, private equity and potentially government asset recycling. Moving to Slide 10. We had a steady year for value traded and cleared. The indices rebalance events were not as large in 2025 versus what occurred in 2024. We have started off '26 stronger. And with the launch of the NZX 20 futures, we are anticipating spillover growth into the cash market, which should bring overall growth year-on-year. Clearly, this is still subject to the macroeconomic environment and levels of new issuance. Information Services benefited from our new tick data products being well received by our clients, an increase in the number of clients requiring real-time data products and an improved offering for market connectivity. The launch of the future -- the equity futures gives further client and product opportunities for the Information Services business to capture going forward. Slide 11 covers dairy, Global Dairy Trade and equity futures. Another strong year for our dairy derivatives business that we operate in partnership with Singapore Stock Exchange. Lots traded were up 22.2% on the prior year. More recently, we've seen significant volatility in the underlying price of the physical products, and this has assisted in end users looking to use the derivative products to hedge their risk. We have, together with SGX, attracted market makers to the market, and this is also assisting with liquidity growth. We estimate the dairy derivatives market is approximately 35% of New Zealand's underlying physical market or physical dairy market, and approximately 18% of the global physical market. This gives everybody a sense of the future opportunity for this business, as derivatives markets are typically at least 1x physical, and for many other commodity markets, many times physical. Global Dairy Trade, or GDT, in H1, upgraded the underlying auction platform and insourced this from Charles River. This has delivered the expected savings, and GDT's profitability has returned, as we said it would, at our half-year results announcement. Turning to the NZX S&P 20 Futures project, we have completed the industry-wide test in November, which went well. We are now in the lead-up to launch, which includes finalizing the onboarding of participants, a final industry-wide test, and the launch, which is likely for early Q2. This is very exciting for the business. Slide 12 covers our funds management business, Smart. Strong growth in funds under management of 17.9% for the year. Net cash flows have been strong, although AMP did decide to manage a $300 million tranche of their money themselves, and with this transferring out at November 2025, net cash flow metrics were impacted. It has been very pleasing to see our returns net of fees in our KiwiSaver and diversified funds have been strong across the board, reflecting our active asset allocation over the top of our passive building blocks. These have been highlighted on Page 12 in the graph. These returns and the plans for the business are key areas that we are communicating to clients and the wider market. We expect to increase these efforts over the course of 2026. We have talked a lot about delivering the capabilities of the group for the benefit of other parts of the group. QuayStreet is now utilizing the full capabilities of the Wealth Technologies platform, and the project for Smart KiwiSaver is well down the track, which will also deliver the same benefits to our customers and the business. Marketing and client communications has lifted through the second half of the year and will continue through 2026. This will step up further when we rebrand to Smart KiwiSaver in mid-2026. When NZX and Smart acquired QuayStreet Asset Management from Craigs Investment Partners in 2023, the intention was to evolve the investment strategy from an active approach to an enhanced passive or systematic style. Due to the ongoing impressive and award-winning performance of QuayStreet and feedback from clients, NZX decided in early 2025 to retain an active management style for the QuayStreet schemes. As a result, QuayStreet essentially is an active manager within a passive house. This meant it was important for us to look at what the most appropriate structure was for QuayStreet to realize its growth objectives. As a result, we're excited to announce the external investment management model has been mutually agreed as the most appropriate vehicle that will benefit the QuayStreet business and its clients. Smart, as the owner of the 2 QuayStreet schemes, intends to outsource the investment manager of these schemes to a newly formed and externally owned QuayStreet Group. QuayStreet Group will be utilizing the QuayStreet brand. This will run and operate independently of Smart by the existing QuayStreet investment team, led by Stefan Stevanovic. Smart will still be the owner of the schemes and manager of the client relationships, ensuring continuity of robust investment governance and independent oversight. Smart will also maintain and operate the infrastructure that supports the schemes. A conditional agreement has been reached. We are working through the remaining conditions to reach completion. We will have more to say on this at that time. Turning to Slide 13, Wealth Technologies has had another strong year. This includes 13 client transitions being achieved through 2025. That's positively impacted Annual Recurring Revenue, which is up 22.2% and Funds Under Administration was up 23.1%. In addition, the team had some fantastic success winning new clients, which will flow into growth not just in the 2026 year, but beyond. We have 1 client that will come off the platform at the end of 2026 due to an industry consolidation transaction. Winning the Craigs Investment Partners opportunity by offering a SaaS service is a wonderful signal as to the position the business now holds in the New Zealand market. We are also pleased to say that we've been able to negotiate favorable terms from several of the larger, more complex clients in relation to the cost of onboarding. Other points to note across the business, we've made some leadership changes within our senior leadership group. Lisa Turnbull has been promoted to the CEO of Smart. Robbie Douglas has been promoted to the CEO of Wealth Technologies, Daniel Juchnowicz has been promoted to Chief Information Officer. Sophia van Zijl has also joined us in the role of Chief People Officer. It's a sign of maturity for the business to see the movement of senior leaders across the organization, and it's a signal of the talent we have. To be able to offer the development opportunities of new and challenging roles, whilst trusting the team off the back of excellent track records they had in their previous roles, is very satisfying. Staff engagement remains strong at 4.36. Our Gender Pay Gap reduced to 11.1% from 13.8%, when excluding the Chief Executive and RegCo. And the workforce remains diverse from a gender, age, and length of service perspective. Again, a sign of a healthy organization. We continue to operate responsibly, both to the environment, our people, and the community. This is outlined in our Operating Responsibly report contained in the annual report. Noting it is slimmed down this year and more succinct, given the government's intention to change the mandatory climate-related disclosures regime. Thank you. And I'll now hand over to Graham to take you through the financials in more detail. As I said, afterwards, we're happy to take questions.
Graham Law: Thanks, Mark. Before I start, I'd like to draw everyone's attention to the disclaimer on Slide 2, which contains important caveats relating to the information I'm about to cover. Starting with the financial performance. The income statement for the year ended December 25 summarized on Slide 15, with further explanation on operating revenue, operating expenses and nonoperating expenses provided in Slide 16 to 19. Additionally, detailed analysis of the operating results by business unit is provided in Appendix 1. I'm now going to cover some details on all those slides. Operating revenue increased year-on-year by $0.8 million to $128.9 million. I note that NZX's diverse revenue sources can be seen in Note 9 to the financial statements. The waterfall highlights the drivers for the increased operating revenue. Smart FUM-based revenue has grown in line with the 20.3% year-on-year increase in average FUM. Wealth Technology revenue growth reflects the increased ARR from new clients. And the Markets business has seen some growth in most of the major revenue lines. However, these have been more than offset by 2 factors. Firstly, as previously indicated, contractual revenue decreased for both the Fonterra Cooperative Group's contract ceasing on their move to the main board from the beginning of 2025 as well as the electricity authorities contracted 3-year extension being at contractually preset lower levels. There's also been no audit or backdated license revenue in 2025. Operating expenses, excluding integration and restructuring costs increased year-on-year by $3.3 million to $75.5 million. The waterfall highlights that the year-on-year increase was across all business units. Overall, this resulted in operating earnings before integration and restructuring costs increasing $5.6 million or 11.6% to $53.5 million. I'll now break down the operating earnings before integration and restructuring costs by business unit, which is summarized on Slide 18 with the detailed analysis being provided in Appendix 1. Starting with the Markets business, where operating earnings decreased $2.2 million. The Markets business revenue decreased $1.7 million. As I've noted earlier, there were the 2 main factors causing that decrease. Firstly, the contractual revenue decreased for both the Fonterra Cooperative Group's contract and the electricity authorities repricing in 2024. The remaining markets revenues increased 4.9% with the main factors being, firstly, in capital markets origination, revenue increased only 0.6% with annual listing fees after internal allocations to NZ RegCo being driven by the market capitalization on 31 May, 2025 and impacting annual listing fees for the period commencing 1 July 2025. And primary and secondary fees are driven by the levels of listing and issuances, which excluding Fonterra Cooperative Group, were slightly lower. Remember that equity has a relatively higher fee rate than retail debt and wholesale debt and then finally then funds. For completeness, I note the change in accounting policy outlined in Note 8 to the financial statements. Initial and subsequent listing fees are now recognized evenly over 5 and 3 years, respectively. Previously, those fees were recognized when the listing or subsequent capital raising event had taken place. In secondary markets, revenue, excluding contractual revenue from Fonterra Electricity Authority increased 6.1%, driven by trading and clearing value and registry transfers were at lower levels, though these were partially offset by lower levels of uncharged value traded, i.e., where traded value exceeds the fee cap. Dairy Derivatives revenue increased in line with the higher level of lots traded combined with favorable FX movements, but partially offset by some further margin fee normalization. Consulting revenues for the electricity authority were at elevated levels, and we don't expect that to be repeated in 2026. For Information Services, aside from the lack of audit and backdated license revenue that I noted earlier, the revenue increased 7.7% due to the increased retail terminals and license numbers -- average numbers, higher indices revenue and some price increases, partially offset by lower levels of average professional terminals. Markets business expenses increased by $0.5 million. The main factors being personnel costs were lower by $0.7 million due to a combination of the restructure in late 2024, reflecting reduced headcount and partially offset by lower levels of capitalization. Information technology costs increased by $0.4 million due to trading and clearing systems inflation, New Zealand and Indian, those related price increases and FX movements. There were connectivity upgrades and infrastructure running cost increases. Markets other expenses include a new inter-business unit charge for the depository automation Phase 1 amortization, which eliminates some consolidation. Moving to the Smart business. The headline operating earnings, excluding the integration costs, have increased $6.9 million, which is up 30.9% to $29.3 million, which primarily reflects FUM-based revenue continuing to grow $8 million, in line with increased average FUM, which, as I mentioned earlier, was up 20.3%, being a combination of the positive net cash flows and positive market returns. Average bps is slightly lower than 2024, reflecting the distribution channels that are driving cash flows rather than any fee compression. The cost base increased $0.9 million or 4.3%. The main factors being gross personnel costs increasing $0.8 million or 3.8%, which reflected an enhancement of the distribution capabilities, resources to improve the customer experience and support client growth and additional project resources. Information Technology costs have increased due to inflation, FX movements and additional Bloomberg functionality obtained in mid-2024. Marketing costs reflect a lower level of spend in H1 '25 post Liberation Day with rebranding costs being incurred in 2024. Moving to the Wealth Technology businesses, where operating earnings increased $1.5 million or 31.1% to $6.3 million. Operating revenue increased $2.6 million, driven by administration fee revenue increased in line with the increased average FUA, funds under administration, which is a combination of new clients being migrated on to the platform in both 2024 and 2025, positive market returns and positive net cash flows, including from new clients. Average bps are slightly higher than 2024, in line with the mix of new clients being migrated on to the platform being more weighted towards those receiving operational services rather than SaaS services. Development fees and deferred income relates to the level of customization specific to client requirements, some of which is paid in advance or during migration and for accounting purposes, recognized over the life of the client contract, i.e., after they've been migrated. The operating cost base increased $1.1 million. The main factors being gross personnel costs were higher. The headcount includes, as previously indicated, contractors to migrate new clients, Smart in particular, onto the platform. Capitalized labor costs and overhead were proportionately lower levels. We expect that as the business grows, the portion of gross salaries capitalized decreases, reflecting more operating activity for clients. Other costs are driven by nonrecoverable GST and platform transaction fees, which increase as the business grows. As indicated on Slide 13, the remaining migration of Wealth Technologies current contracted clients will add further to the annual recurring revenue, the timing being dependent on, firstly, client strategic prioritization, i.e., the timing relative to their requirements. and their migration resource commitment as well as clients' current platform providers supplying data in a timely manner. Additionally, our prospect list remains very strong. Overall, the timing of migrations for current contracted clients and future potential clients will drive the future CapEx levels and the profile, i.e. peak and duration of the amortization bubble. For the corporate functions, the operating expenses increased 4.5%, which is after seeing 2024 hold at the same levels as '23. The personnel costs, the late 2024 restructuring of some IT teams has helped to absorb wage inflation, with additional roles in HR, finance and the project management office added through the year to support the growth businesses. Professional fees had higher levels of legal advice, financial and other consulting, which is offset by other costs, which are generally lower as well as having the benefit of a one-off nonrecoverable GST saving. And finally, NZ RegCo, where operating earnings after internal revenue and expense allocations were a loss of $0.3 million, which is driven by regulatory fee generating activity levels being lower compared to 2024 market activity levels and a higher level of annual listing and participant fee revenue and corporate service costs allocated to that business. Moving to the nonoperating expenses on Slide 19. The integration and restructuring costs related to the integration. The integration represents incremental one-off external costs, net of capitalized internal costs and relate to both the integration of the QuayStreet business, which was successfully completed in August '25, allowing the distribution of the QuayStreet funds through several new distribution channels and the maturing of the smart systems and operations, which will be ongoing for several years. The restructuring costs relate in part to the late 2024 corporate services team's restructure to offset the impacts from the changes to the Fonterra contract, as noted earlier. Net finance costs reflect the net impact of interest rate movements on the interest income on cash and regulatory risk capital balances and on the interest expenses on the acquisition facility. Depreciation and amortization is higher in line with our expectations as outlined in previous investor presentations. This mainly reflects Wealth Technologies increased amortization relating to new clients migrated in both '24 and '25. We continue to expect further increases as migrations continue and new clients join the Wealth Technology platform. Again, I note that the amortization profile lags the CapEx profile by a few years, which I refer to as the amortization bubble, and I've explained this in detail in last year's investor presentation. The share of profits of associate profits or losses of associates relates to our investment in Global Dairy Trade, GDT. In line with our previous indications and expectations, GDT's 3-year expansionary strategic plan results in NZX's share of the associated profit as being lower in 2025. This is specifically due to GDT's upgrade to the auction platform, which completed in June '25. GDT's underlying profitability remains comparable to previous periods. The seasonality of the milk season drives GDT volumes with the second half of 2025 seeing approximately 2/3 of the main customers' contracted volumes being auctioned. As a result, our share of the associate profits has been very strong in H2 '25. Going forward, this seasonality pattern will continue with H1 likely to show a share of associate loss and H2 a share of associate profit. Last year's accounting adjustments related to the change in fair value of the contingent consideration and the goodwill write-off, those were explained in last year's investor presentation. And then finally, the effective tax rate slightly before the statutory tax rate of 28% due to a combination of nontaxable items and tax versus accounting valuation differences. Overall, this has resulted in a headline net profit after tax of $21.5 million, down on '24 by 14.2%, though on a like-for-like basis, the 2024 net profit after tax after removing and adjusting for those accounting adjustments, the like-for-like net profit after tax was actually up 20.2% Operating margin has improved to 41.5%. And as I noted earlier, further details on all that I've talked about is provided in Appendix 1 to the presentation. Moving to Slide 21 and the balance sheet. The key points to note are first of all, the cash balances include balances that are not available for general use. The clearing house has $20 million of risk capital and approximately $3.3 million of working capital requirements under its Financial Markets Infrastructure Act working capital requirements. The funds management business maintains sufficient capital to ensure, it has the ability to carry out its license management investment scheme manager market services effectively. The cash component required there has lowered by $0.1 million this year. That has been driven by movements in other working capital balances, particularly prepayments. The second point to note is that funds held on behalf of third parties, assets and liabilities offset and hence, the assets are not available for general use. These relate to issuer bond deposits, participant collateral deposits and deposited funds. The third point is the interest-bearing liabilities, which includes the subordinated notes, the next election date being June 2028. The main bank facilities, which expire in February 2027, and we expect to extend those later in the year. And the acquisition loan currently is at $15 million, having reduced over the period. And we have one revolving credit facility of $7.5 million, which we expect to pay down from excess cash in the coming months. The final point is the impact on the other current and noncurrent liabilities from the accounting policy change relating to primary listing fees and secondary issuance fees. This has had the impact of increasing the income in advance, which will now be recognized in the income statement over the next 3 to 5 years. Refer to financial statements note for the details. Slides 22 and 23 summarize the capital expenditure in 4 graphs, which are all the same scale so that I can show relativity. For trading and clearing and energy systems, the CapEx levels are dependent on specific system life cycle. At present, there are no large upgrade projects underway, and we have enhanced our trading system for the S&P NZX20 Index Futures and automation of the depository systems. Looking out to the medium-term horizon, the trading system may come to end of life and require upgrades in a few years' time. For property, plant and equipment, the 2025 CapEx has reverted to slightly lower level -- lower than normal levels after several years of office fit-outs. The other software relates to the normal life cycle replacements for IT equipment and software as well as ongoing enhancements of NZX's technology architecture. For the growth businesses, Wealth Technology is our largest area of CapEx and the business continues to migrate new clients and maintain its product offering. We expect CapEx level to increase for at least the next 2 years as we migrate the large SaaS client who is extending services and the Smart business and possibly longer if further prospects are converted into contracts and require migration onto the platform. I note that for the large migrations, the clients are contributing to the migration costs. And as I mentioned earlier, those contributions get recognized to the P&L over the period of the contract, i.e., post migration. Smart continues to enhance systems. As previously noted, maturing the Smart operating model will require further enhancements to the client portal, CRM digital tools, mobile app and registries, some of which will be capitalized. Though where the spend relates to Software as a Service, then those costs will be recognized in the one-off OpEx costs. Slide 24 summarizes the cash flows for the year. Operating activity cash flows represent the net profit after tax adjusted for noncash items such as amortization and our share of associated earnings from Global Dairy Trade. These have increased as expected in line with the increased operating earnings. For payments for property, plant and equipment and intangible assets, they reflect the CapEx levels that I've just noted in the previous slide. The key reason for the reduction being the previous year, including a refit of the Wellington office and other financial financing activities related to lease payments. Free cash flows are $26.5 million, which is up 25% from 2024. This is in line with our previously indicated expectations. The free cash flows have been used for payments for acquisition, which relate to the settlement of the 2024 QuayStreet earn-out in January 2025, which was funded from cash balances rather than new debt and dividends, noting the dividends paid in 2024 were net of participation in the dividend reinvestment plan. Overall, net cash flows are $3.2 million, down from $4.2 million in 2024. Moving to the next slide, the interim dividend. Our fully imputed final dividend is $0.033 per share, which will be paid on the 2nd of April 2026. This brings the full year dividend to $0.063 per share, an increase from $0.061 per share for the 2024 financial year. The improvement in operating earnings has allowed us to continue investing in our strategic initiatives while providing an increase in the dividend to shareholders. The dividend payout ratio is within policy, which leads me to our 2026 earnings guidance. NZX's full year 2026 operating earnings guidance is in the range of $53 million to $58.5 million. Those operating earnings are excluding the one-off costs. As always, I note that this earnings guidance is subject to the usual market caveats that are listed on the slide. Earlier, we have laid out the 2026 strategic priorities, numerical targets and external dependencies that feed into our earnings guidance on Slide 6. I specifically note that these are not financial forecasts. Progress towards achievement of those deliverables can be monitored within the shareholder metrics, which we publish monthly. That concludes our presentation, and we'll now open it up for questions.
Mark Peterson: Got 3 questions so far. Ben Crozier, Kieran Carling and Dave Storms. I'll take them in the order that I read that out. So Ben, I'm just taking off mute now and then please ask your question.
Ben Crozier: Just first question on guidance. So if we look at the midpoint, so from this year's results, we presumably there's some growth in Wealth Tech EBITDA for next year, and we're sort of already at the midpoint. Is that sort of how to think about it that your assumptions for Markets and Funds Management EBITDA are sort of flat year-on-year and then growth in Wealth Tech?
Graham Law: The guidance is before the operating earnings, Ben, and the comparator number for 2025 is $53.5 million. So Just make sure we're comparing like to like there. Yes, effectively, the bottom of that range that we've provided is where the 2025 number is, not the midpoint.
Ben Crozier: No, no. I'm assuming that Wealth Tech EBITDA as the ARR will grow through the year will be a decent $2 million or so uplift in Wealth Tech EBITDA and then that sort of gets us to the midpoint of $55 million, $56 million. And then the other -- it sort of assumes that Markets and Funds Management is sort of flat year-on-year for EBITDA. Is that sort of how to think about it?
Mark Peterson: No, not necessarily, Ben. I think over the years, you've probably got to know us as a business, which actually protects probably more on the downside than the upside when we think about guidance range. So I think you should continue to think that way when you look at the '26 earnings guidance as well.
Ben Crozier: Yes. So a bit of conservatism in that. Perfect. And second, just on the equity derivatives, sort of can you -- have you got a target sort of an EBITDA contribution over the medium term, maybe including the halo benefits from increased market activity that you can share like in terms of the materiality, is it going to be $1 million of EBITDA or a few million of EBITDA?
Mark Peterson: We haven't put anything out, Ben, and it's a very, very hard sort of calculation to pull together with any degree of certainty. What we do know from a business perspective is these products are highly sought from the market. And we've got a view, if you like, internally on sort of, I guess, the cost to implement, and we've got a view on where we'd like to see the track going, but we haven't published that. So I guess, in some respects, we're taking a bit of a sort of a -- let's wait and see how things roll. And then I guess, if we can get some growth in there, then we'll start to sort of paint more of a forward track for everybody to understand. But at this point, no, we're not indicating too many numbers.
Graham Law: Ben, I'd just add to Mark's comments and we just move back to Slide 6. We have put out a number of lots that is our target that is inherent in that earnings guidance. We're pretty conservative in what our target is here because we just -- as Mark has said, we don't know what the initial uptake demand will be. So inherent in that operating guidance is probably a little bit of drag. We've indicated that in previous years, but we would expect when it starts a little bit of drag in this particular area. And as we grow into it, we'll be able to give more detail in due course.
Ben Crozier: Yes. Perfect. And then maybe last question on just the net debt. I think well done for increasing the dividend. But I think previously, you've been a bit conservative on the net debt balance at the moment is higher than history. Is this sort of an indication that you're maybe more comfortable with a higher level of net debt and you're willing to grow that dividend in line with earnings and free cash flow from here? Or do you still see net debt you want to pay that down over the medium term?
Graham Law: Well, I mean, I indicated when we went through the balance sheet there that we'll pay down some of the acquisition-related debt in the next month or 2. We remain conservative, I think, would be the way to put it. But we see future cash flows growing as we've indicated over the last few investor presentations and provided the markets continue to behave the average -- the usual caveats for me. Provided the markets remain consistent, we would anticipate that we would like to grow the dividend going forward.
Mark Peterson: Yes. I think you will see a balancing act there, Ben. We will think about debt levels and it puts you in a conservative position on the balance sheet. But yes, certainly, the intention, as we've said and as Graham has just mentioned, growing dividends through the next few years certainly on our radar.
Ben Crozier: Perfect. That's very clear.
Mark Peterson: Kieran, I'm taking you off mute now.
Kieran Carling: I guess just to touch on Ben's first question. When you set this earnings guidance for the year ahead to phrase it in a different way, we've seen a strong start to the year from markets. Value traded is up 17% in Jan. We've already had $1 billion of raises from the gentailers. You're launching futures midyear. Can you just sort of provide a little bit more of a steer on how you expect the year ahead to play out just from an OpEx perspective and sort of how conservative or maybe perhaps when you set that guidance and sort of how you're tracking based on the start of the year?
Mark Peterson: Yes. I mean, there are a few tailwinds in our business that people can see. Some of them are pretty hard to quantify. When we think about listing and new issuance activity, there's a couple of factors there. One, it's got to land, and we don't want to count chickens before they hatch. Two, obviously, from a P&L point of view, we've now got that amortizing out over 3 and 5 years, depending on whether it's new listed or new issuance or secondary issuance. So the impact, if you like, on earnings has sort of flattened a little bit as a result of that. The futures, as we said before, it's a little hard to predict right now. So to the extent that, that takes off with a hiss and a roar, then obviously, you'll see us talk to that at the half year, and we'll give you a sense of how that's going. From a cost point of view, I guess we look at the cost, and it's probably going to be no different in '26 than we've had in previous years. We will take a measured approach to costs. We're watching costs very closely. But we do know that we will obviously need to absorb salary and IT inflation again. Those are probably the 2 main cost drivers aside from the fact that we will continue to invest into growth into smart, certainly from a marketing and branding and awareness perspective. So you'll see us deliver into there as we've signaled before. And I guess once we get through the move to the KiwiSaver product set onto the Wealth Tech platform, we will actually look to lift that again. And I think I talked about that in my opening remarks. So I'm not sort of, I guess, painting too much of a picture for analyst to go what's the number going into the model, but I'm trying to give you a steer that it's not much different from last year, and the growth areas are probably going to be the same ones that you're used to. I don't know whether you want to add.
Graham Law: Yes, I'll just Kieran, the slide that we have up is basically the key revenue drivers. And as you know from previous years, these are the numbers that feed into that operating earnings. So we try and give transparency of what we are thinking that feeds into that. And as I noted in the presentation, people can track how we're progressing against these metrics on a monthly basis and form their own views, as you say, of the conservatism that we may have in here. January '24 was a great month as well as January '25, and we don't count chickens before they hatch is the sort of way we approach all of these metrics to a degree. So if I just pick in one, dairy derivatives were up over 50% in January. I can tell you that month-to-date and year-to-date, it's down near 20% when you look at.
Mark Peterson: 20% up.
Graham Law: 20% up. Yes, but it's eased off from a fantastic January, it's eased off as it did last year in February. So you have highlighted that, yes, we're conservative, but we throw up the assumptions within that conservative on this particular slide in particular, so that people can see those. With regard to the cost base, markets, we've assessed in previous years, it remains very stable. in nature -- sorry, headcount is our main cost, approximately 2/3 of the cost of the business. Headcount remains stable in markets. Smart, we continue to grow in that area. Until we have finished the replatforming of the registry, we are quite -- as we grow, we need to layer on a disproportionate number of resources relative to if there was more automation in that business. Wealth Technologies, as I alluded to, as we went through, is in its growth phase as more clients come on and an operational activity, you'll see 2 impacts. occasionally a step change in operating resources required to service those clients appropriately. And there is a mathematical consequence of having a higher degree of operating activity as in the percentage of capitalized costs will reduce over time. they are the factors in there that sort of lead you to more of more than CPI type assumption.
Kieran Carling: No, that's very helpful. I guess I was just comparing this time last year, the midpoint of your guidance for the year ahead was up 6% and then the midpoint of your guidance this year is up only 4% on what you've just delivered. So I was really just trying to assess the difference there. I guess just moving on to Wealth Tech. Can you provide some more information about the more favorable onboarding terms that you've negotiated with some clients? And I guess it might be hard to quantify, but maybe you could sort of share how you think about the payback period for some of these new clients coming on who are also sort of paying for more of their migration relative to previous onboarding?
Mark Peterson: Yes. I think you've hit the nail on the head there, Kieran, in the sense that the favorable terms for the more complex and larger clients there is a pretty decent contribution coming from the client itself. So from a cash point of view, obviously, we're going to be quite well covered in that regard. The payback period for some of these larger ones, given, I guess, we're only contributing a small percentage to the onboarding cost is actually quite quick for the ones that are in front of us. And then there's a good number of what we would call sort of independent financial advisory clients that are coming on that come down to sort of a different pipe. We've got a very automated procedure for that. And as Graham has mentioned, subject to getting the data off the existing provider in good time, we can be very automated there. So the payback period on those is also quite strong. So it's a little hard to give you sort of specific numbers on it, but we're very pleased with sort of where we're getting to with some of these larger clients.
Kieran Carling: Great. And then just final question on Wealth Tech. Can you give us on -- you sort of commented that CapEx is going to step up in '26 and '27 and potentially thereafter for a period of time. Can you give us an idea around what level of CapEx you're expecting in those years?
Graham Law: Yes. we'll layer on an additional large sprint team for the large SaaS client is what I'm referring to. That project will last into mid-2027, maybe slightly longer than mid-2027. And the comment of beyond is more expectation that we win more clients as opposed to anything that's predetermined at this point here.
Kieran Carling: Okay. And I guess...
Mark Peterson: The pipeline, Kieran, that we've got in front of us sort of beyond the work that we're currently doing, it's still very, very strong.
Kieran Carling: Okay. And I guess just to squeeze in one final one. You've got a large sort of fee range when it comes to SaaS clients. And I presume for the client that you outlined in December, you'd give a more competitive fee. But yes, can you give us any sort of steer on what ARR you're expecting Craigs to contribute once onboarded?
Graham Law: I can't tell you specifics, but what I can point to is Slide 13, where we have the ARR table in the bottom right. And effectively, what we're saying there is that ARR at the end of December is $13.2 million. Through 2026, we have migration deals anchored for $1.3 million. As Mark mentioned, we have one client who has been bought by a bigger entity and will move to their system at the end of the year, and that will have an impact. In our targets, that nets out then to $13.5 million at the end of next year, which is, of course, subject to signing new people up to earlier migration. And then with the clients that we have that haven't either anchored a migration date or have a later migration date, it's $4.3 million, which means at the moment, our book of business to be migrated over 2026, 2027 would get us to $17.8 million of ARR. I'm a pains to mention that, that $4.3 million includes a few clients, including smart and large sizes.
Mark Peterson: I guess the one thing to make sure everybody is clear is that $1 million that's shown there, the negative $1 million, we received the cash all the way through this year. And when we talk about that $1 million, it's a point-in-time impact at the end of the year -- doesn't reflect. Dave, I've taken you off. Dave Storms, I've taken you off mute.
David Storms: Perfect. Just want to start with the comment that was made around the visibility that you have in capital listed and raise. I think you mentioned it's about as good as you've seen it since 2011. Could you maybe give a little more color here as to maybe what kind of runway you have there? Is that in terms of pure volumes? Just any more there would be helpful.
Mark Peterson: Yes. Sure, Dave. If we'll move to Slide 9, actually. And you'll see there, Dave, on the future capital listed and raised, there's a couple of boxes. The bottom gray box talks about where we're seeing activity. I guess I would start by saying we had some -- the start of a bit of a listing cycle happened towards the back end of 2025 with a couple of resource stocks that came through. Obviously, we had another one this week. And potentially, we've got some others coming up in the next couple of weeks. So definitely, the resources sector is one where we're seeing increased activity. And that sometimes reflects businesses that are actually offshore businesses but have projects in New Zealand and they want to tap the New Zealand investor base. We've also got visibility on other larger or the potential for other larger businesses coming to market, which is probably going to be sort of back end of H1, maybe into sort of mid-H2. And those are -- there's some very interesting businesses there that have got some big growth opportunities. They are looking for capital, and they will be more substantial. Now I say all of that because that's what we've got visibility on at the moment as we're pains to say, there's a lot of water to go under the bridge between now and those listings occurring. But certainly, what we're seeing now is a sort of a change in cycle, some enthusiasm towards growth, some desire to get into a position where companies can access further growth capital. And right here right now, it feels really good. I guess when we talk about government asset recycling, the real caveat there would be an election, I suspect. And I'm not sure we would see anything this year on that. But certainly, when we talk about beyond 2026, if the election went the right way, then I think there could be some activity there. So I can't give you a whole lot more flavor than that, Dave, but it's a mixture of sort of smaller businesses, foreign-owned coming to New Zealand market, some larger business coming for growth capital and potentially coming out of private equity. And then we've got some -- the potential for some government assets.
David Storms: Understood. Very helpful. And I guess, pivoting from those government assets maybe into the regulatory environment. You mentioned you kind of have 3 pushes there, and you've also mentioned that you don't want to count any chickens before they hatch. I guess my question is, what chicken would you like to count first maybe? Maybe what are your priorities there? And if you quantify that?
Mark Peterson: Yes. I think we talked about 3 things there from a regulatory point of view. And I think I can say this that certainly, we don't see there being a real need for a full product disclosure statement for a new instrument, if you like, be it fixed income or equity if you're already listed. You're already disclosing, continuously disclosing. The market understands your credit. Why do you go to the trouble of a full PDS if you were looking to raise some debt, for example, for the first time. There is some broad support for that idea across policymakers. But that would actually lower the cost of capital for firms, if you like to, once they tap the public market then to actually source more capital, that would actually lower that cost of capital, which would be attractive. And it also makes potentially the fixed income market relevant from a cost point of view to smaller firms or more relevant from a cost point of view to smaller firms if they're doing smaller raises. So we see that as a really, really good one. Simplifying what's in a product disclosure statement is also on the radar, although I think what would be more helpful would be a sort of a fault type sort of concept coming into directors' liabilities. I think that would be very well received. So what that really means is directors would have to be incredibly negligent before they'd have putting their house at risk, for example, a simple mistake might not necessarily lead you down that sort of path potentially. So we're looking at those 3 areas. There is broad support across the policymakers and government agencies. But as I also said, we are running into a bit of a log jam with respect to law change and how much the government wants to get through that before the election. So we just got to keep working away and keep lobbying. 35 seconds left. Andrew, I know you've got some written questions. We're happy to provide responses to you after the meeting, if you like. Was that all from Dave?
David Storms: I think we're out of time. Yes, I'll leave it there.
Mark Peterson: Excellent. Okay. Thanks, everybody, for joining. And I guess just from a personal standpoint, obviously, final results call for me after 9.5 years, thank you for all your support along the way. And certainly, when I think about the business back in 2017 to where it's at now, it's very satisfying for all involved as to where we've got to. But certainly appreciate your support and happy to obviously take one-on-ones when we get around everybody after this call. Thanks all. Have a good day.